Operator: Good day, and welcome to the Cheniere Energy Fourth Quarter and Full Year 2024 Earnings Call and Webcast. Today's conference is being recorded. At this time, I'd like to turn the conference over to Randy Bhatia, Vice President of Investor Relations. Please go ahead, sir.
Randy Bhatia: Thanks, operator. Good morning, everyone, and welcome to Cheniere's fourth quarter and full year 2024 earnings conference call. Slide presentation and access to the webcast for today's call are available at cheniere.com. Joining me this morning are Jack Fusco, Cheniere's President and CEO, Anatol Feygin, Executive Vice President and Chief Commercial Officer, and Zach Davis, Executive Vice President and CFO. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements. Actual results could differ materially from what is described in these statements. Slide two of our presentation contains a discussion of those forward-looking statements and associated risks. In addition, we may include references to certain non-GAAP financial measures, such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these measures to the most comparable GAAP measure can be found in the appendix of the slide presentation. As part of our discussion of Cheniere's results, today's call may also include selected financial information and results for Cheniere Energy Partners LP or CQP. We do not intend to cover CQP's results separately from those of Cheniere Energy, Inc. The call agenda is shown on slide three. Jack will begin with operating and financial highlights, Anatol will then provide an update on the LNG market, and Zach will review our financial results and 2025 guidance. After prepared remarks, we will open the call for Q&A. I will now turn the call over to Jack Fusco, Cheniere's President and CEO.
Jack Fusco: Thank you, Randy. Good morning, everyone. Thanks for joining us today as we review our outstanding results from the fourth quarter and full year 2024, and discuss our vision for what I expect to be an exciting and rewarding year for Cheniere in 2025. In 2024, we once again generated excellent results across the key strategic priorities of the company driven by our uncompromising ambition to consistently deliver sustainable long-term value to our stakeholders. These results, underpinned by Cheniere's safety-first culture, operational excellence, customer focus, and financial discipline, further distinguish Cheniere in the market and reinforce our reputation as best in class across our entire platform. We take these successes into 2025 with the wind at our backs as a global market call for new LNG capacity is ringing loud and clear. Energy security in general, and natural gas in particular, have been prioritized over the last several years, accelerated by geopolitical conflicts in multiple theaters that have refocused governments on the long-term importance of natural gas. Throughout these conflicts, the criticality of a long-term energy supply portfolio that is diverse, secure, and perhaps most of all reliable, has been laid bare, and Cheniere's LNG stands as an ideal and powerful solution. The United States has a significant opportunity to provide that reliable and secure energy supply the world over, and we now have a more constructive backdrop for the development and operation of large-scale energy infrastructure in this country. We are engaged with the new administration in Washington and are optimistic for a more clear, transparent, and predictable permitting and regulatory regime so we can continue to safely build and operate more LNG capacity the world so clearly needs for decades to come. Please turn to slide five, where I'll highlight our key accomplishments and results for the fourth quarter and full year 2024, as well as introduce our financial guidance for 2025. In the fourth quarter, we generated consolidated adjusted EBITDA of approximately $1.6 billion, bringing our total for the full year to $6.155 billion. We generated distributable cash flow of approximately $1.1 billion in the fourth quarter and approximately $3.73 billion for the full year. Net income in the fourth quarter totaled approximately $1 billion and approximately $3.3 billion for the year. Full-year EBITDA landed in the middle of our recently increased guidance range and $155 million above the high end of the original range provided a year ago. On DCF, we delivered results above the most recent range and $300 million above the high end of the original range. These outstanding financial results are once again enabled by the relentless focus on performance that I'm proud to share with my 1,700 Cheniere colleagues around the world. We produced a record amount of LNG in 2024, approximately 45 million tons, which is over 10% of the global LNG supply in the year. And we did so while successfully completing turnarounds at both Sabine Pass and Corpus Christi, and most importantly, we once again delivered a top quintile safety performance. In 2024, SPL achieved 11 million labor hours, and Corpus Christi achieved 7 million labor hours without a single lost time incident. All of our stakeholders should take as much pride in these results as I do, as the Cheniere production teams continue to set the safety and reliability standard in our industry. During 2024, Zach and his team continued to make excellent progress on our comprehensive capital allocation plan, deploying over $1.5 billion towards our stage three project, paying down $800 million of long-term debt, and buying back almost 14 million shares for approximately $2.25 billion. In addition, we increased the dividend by 15% to $2 per share annualized and announced another $4 billion share repurchase authorization last summer, well ahead of schedule. Looking ahead to the full year 2025, I'm pleased to introduce our 2025 financial guidance of $6.5 billion to $7 billion in consolidated adjusted EBITDA, $4.1 billion to $4.6 billion in distributable cash flow, and $3.25 to $3.35 per unit distributions at CQP. These ranges reinforce that 2024 was a trough year for EBITDA and DCF, as we expect year-over-year growth in 2025 as Corpus Christi stage three begins to enter operations. The guidance range contemplates the first three trains of Corpus Christi stage three start-up production this year. Zach will have more to say on guidance in a few minutes, but we are committed to delivering results within these ranges for 2025. We made significant progress on our growth during 2024, as demonstrated from our progress on our Corpus Christi stage three project. Bechtel continues to execute construction and commissioning on an accelerated schedule. At year-end, total completion stood at 77.2%, with the construction across the entire project at over 42% complete. We were proud to achieve first LNG back in December, an important milestone that helps reinforce our forecast timeline for train one to reach substantial completion by the end of the first quarter. I'll discuss stage three more on the next slide. With regard to Corpus Christi trains eight and nine, the project is nearing the final regulatory approvals required in order to reach FID, and we remain on track to reach FID on the Brownfield expansion this year. We recently placed orders for long lead time items to ensure we continue our construction efforts without delays upon receipt of the remaining necessary permits. Please turn to slide six while I provide a more in-depth look at our progress on Corpus Christi's stage three. We're working closely together with Bechtel to move stage three into operations. Train one commissioning continues to progress to plan, and I'm pleased to share that this week we completed production of our first full cargo of LNG from the stage three project. Over 5,000 personnel are working to safely advance the project towards completion. We are beginning to turn a significant number of systems over to commissioning and start-up teams on train two. In addition, all equipment and materials on trains one through seven have been procured and delivered at this point, mitigating stage three risks of import tariffs. We continue to target the first three trains to ramp up production by year-end of this year and all seven trains to be substantially complete by the end of 2026. Please turn to slide seven where I highlight our strategic priorities for 2025. First and foremost, we expect to reinforce our track record of best-in-class operations in 2025. We will continue to operate our business the right way, the safe way, especially as we construct and commission Corpus Christi stage three. Our hard-earned reputation in the market as a safe and reliable operator is a significant competitive advantage, one which will serve all of us well for the long term, and it's vital we maintain that advantage. Second, we are committed to getting Corpus Christi mid-scale trains eight and nine to FID. As I just mentioned, we look forward to receiving the remaining regulatory permits in the near future and are taking the steps necessary in preparation for an FID later this year. During 2024, we locked in approximately half a billion dollars of long lead time equipment and other costs under limited notices to proceed with Bechtel related to trains eight and nine, helping to ensure the project can maximize efficiencies on both cost and schedule. Finally, we intend to strategically pursue permits to ensure the long-term growth optionality of our Sabine Pass and Corpus Christi footprints. As I said at the beginning of my remarks, we're actively engaged with the new administration and are very encouraged by the early action and stated policy goals prioritizing a clear, transparent, and durable permitting process. Given the improvement in the permitting environment for LNG projects here in the US, which is a stark contrast from just a few months ago, we have an opportunity, a strategic imperative, to secure permits for significant growth at both Sabine and Corpus in order to de-risk the permitting requirements of future project development. With line of sight to a total capacity of over 90 million tons per annum, we will, of course, always adhere to our disciplined capital investment parameters so that any incremental capacity is likely to be built under a phased approach while optimizing our Brownfield advantages at both facilities. But while we have this window, we intend to aggressively pursue permits at both sites and give ourselves a path to potentially more than double our current operating capacity once permits are in place. I look forward to updating you all on these efforts in the coming quarters as they develop. With that, I'll now hand it over to Anatol to discuss the LNG market. Thank you all again for your continued support of Cheniere.
Anatol Feygin: Thanks, Jack, and good morning, everyone. Before we turn to a discussion of the markets, I'd like to acknowledge the constructive progress made in recent weeks towards restoring peace between Russia and Ukraine. While it remains a fluid situation and a peaceful solution in the near term is not a given, we're encouraged by the ongoing talks and hope resolution can be achieved soon. The Russia-Ukraine conflict over the last three years has had a tremendous impact on global energy markets, not only altering supply-demand balances but also serving as a powerful reminder of the criticality of a secure and reliable energy supply portfolio. It has once again highlighted the vital role natural gas plays in the everyday lives of people and economies around the world. A resolution to the years-long war would likely result in the restoration of incremental Russian gas volumes into Europe over time. We believe this would aid a rebalancing in the gas market and help support a more affordable and stable pricing environment conducive to long-term natural gas and LNG demand growth. Now please turn to slide nine. We'll start with a look back at 2024. The market remained relatively tight throughout last year due to limited growth in supply capacity coupled with strong demand outside of Europe and continued geopolitical tensions throughout the year. Global LNG trade grew by less than four million tons year on year, as project delays, Russian sanctions, and a lull in new projects coming online limited supply growth. While new projects started up in Russia, the US, Mexico, and the Congo, these projects contributed very little volume to the market due to starting up late in the year or, in the case of Russia, sanctions preventing cargoes from reaching markets. As a result, the increased LNG consumption in Asia as well as other markets such as Egypt and Brazil, was satisfied at the expense of Europe for most of the year. These conditions continue to support spot prices, which remained elevated albeit thankfully lower than the unprecedented levels of 2022 as the post-crisis rebalancing gradually continued. TTF monthly settlement prices averaged around $10.90/MMBTU in 2024, over 20% lower than the 2023 average of about $13.70/MMBTU. Similarly, the settlement price for JKM averaged $11.80/MMBTU in 2024, over 25% lower versus 2023. The average Henry Hub settlement price was 17% lower in 2024 compared to 2023. However, starting in late 2024, cold weather in Europe coupled with the expiry of the gas transit agreement between Russia and Ukraine at the end of 2024, caused a rebound in European spot prices with a narrowing or later reversal of the JKM-TTF spread in order to attract cargoes into Europe. Let's turn to the next page and address this in further detail. In 2024, Europe's imports declined 19% year over year, down over 22 million tons, due to sluggish growth in the industrial sector, lower gas-fired power generation, and competing demand for volume outside the region. However, Europe's fundamentals improved in the second half of the year as regional balances reversed course, especially in the fourth quarter, when Europe turned tighter amid winter weather and the expiry date for Russian natural gas flows through Ukraine neared. While gas-fired generation fell 10% year on year, a drop in renewables output in the fourth quarter along with persistent cold temperatures resulted in more gas-fired generation, which rose 15% year on year during the fourth quarter. This accelerated gas withdrawals from underground storage, bringing inventory levels below the prewar five-year average and roughly 17 BCM below the comparable period last year. This decline is equivalent to approximately 180 cargoes of LNG and is likely the reason we saw a swift call on cargoes into Europe towards the end of the year and at the beginning of 2025. We believe this call is likely to continue through most of this year as LNG will be critical in mitigating the loss of Russian gas in Europe and helping replenish inventories for next winter in the absence of other incremental supply alternatives. While Europe has had a tale of two halves in 2024, Asia consistently experienced growth across its markets for most of the year. Asia added over 20 million tons of LNG imports, up 8% year on year to 283 million tons. China was the most significant contributor to this growth, increasing 10% to 78 million tons, not quite back to its prewar peak, but very close. China's growth in LNG imports came as the country's overall gas demand grew roughly 8% across all major sectors, including transportation, which reached an estimated 15 to 16 million tons in 2024. Additionally, as is the case across most of the region, China experienced heat waves this past summer, which helped boost power generation from its growing gas fleet, which added 19 gigawatts of capacity in 2024. This builds on the 10.3 gigawatts that were added in 2023 for a current total of 145 gigawatts of installed gas power generation. In addition to CCGT capacity, the country installed an incremental 24 million tons per annum of regas capacity, an increase of 20%, and an additional 141 Bcf or 4 BCM of underground storage capacity for an estimated total of 953 Bcf or 27 BCM as of the end of 2024. All aligned with the country's goal to reach peak coal consumption this year, peak carbon emissions by 2030, and grow natural gas to 15% of primary energy. As we've noted on previous calls, we believe that the Asia Pacific region will continue to support LNG demand growth for decades to come, and 2024 provides added conviction to that thesis. The region accounted for nearly 45% of gas demand growth in 2024, which represents an all-time high globally, growing at a rate of 2.8% year on year, representing incremental demand of approximately 11 Bcf a day. Let's move to the next slide. The global gas market has gained significant flexibility with the growth in LNG trade, which plays a key role in balancing the global gas market, evidenced by the avoidance of a severe energy crisis in Europe into 2024, and we believe it is likely to remain a key contributor to global energy supply security for decades to come. Throughout 2024, there were numerous and at times compounding factors that impacted the supply and demand of LNG and contributed to sustained elevated pricing in the short end of the curve last year. These include extreme weather events and shortfalls on the supply side. Amid few counterbalancing elements last year, these factors coincided to create major trade deficits in some markets. As I mentioned earlier, the start of new projects in 2024 did little to offset the supply deficits resulting from other project delays, system outages, and resource maturation, just to name a few. Depleting gas resources for LNG in legacy supply areas such as Egypt, Algeria, Trinidad, and even Australia have far outweighed gains in other areas such as Argentina, where domestic gas production growth helped reduce the country's imports of LNG last year. And in fact, Australia has taken train two at Northwest Shelf offline due to incidents. We believe examples like these are structurally supportive of demand for LNG supply in the future. While the energy security provided by destination flexible LNG further reinforces the prospect of LNG demand growth in general. The expected growth in the LNG market will require an additional estimated 230 MTPA of LNG supplies in the coming decade. And new supply from Cheniere, both under construction and in development, will not only help meet this demand but also should help ensure improved availability, deliverability, and affordability of gas supply globally, while offsetting some of the legacy resource depletion and ensuring greater energy security to markets worldwide. With that, I'll turn the call over to Zach to review our financial results and guidance.
Zach Davis: Thanks, Anatol, and good morning, everyone. I'm pleased to be here today to review our outstanding fourth quarter and full year 2024 results and key financial accomplishments, and to discuss our financial guidance for 2025. Turn to slide thirteen, please. For the fourth quarter and full year 2024, we generated net income of approximately $977 million and $3.25 billion, consolidated adjusted EBITDA of approximately $1.6 billion and $6.155 billion, and distributable cash flow of approximately $1 billion and $3.73 billion, respectively. With these results, we've now reported positive net income for the second full fiscal year. Compared to 2023, our fourth quarter and full year 2024 results reflect the moderation of international gas prices as well as a higher proportion of our LNG being sold under long-term contracts, and lower contributions from optimization activities upstream and downstream of our facilities, as the extreme market volatility continues to subside since 2022 and 2023. These impacts were partially offset by higher volumes of LNG delivered from our two sites during the year. During this fourth quarter and full year, we recognized in income 615 and 2,349 TBTU of physical LNG, which included 605 and 2,325 TBTU from our projects, and 10 and 24 TBTU sourced from third parties, respectively. Approximately 92% and 96% of our LNG volumes recognized in the respective periods were sold in relation to term SPA or IPM agreements. While we have many significant achievements to highlight from 2024, I'm particularly proud of the execution on our 2020 vision capital allocation plan throughout the year. In 2024, we deployed approximately $5.4 billion towards the key pillars of the plan: shareholder returns, accretive growth, and balance sheet management. As of year-end, we have allocated nearly $14 billion of our $20 billion target by 2026, that we intend to surpass as we continue to reduce our share count and enhance our capital returns, while retaining financial flexibility to fund accretive growth across our platform. All of which to position us to achieve our target of generating over $20 per share of run-rate distributable cash flow for our shareholders. During 2024, we repurchased approximately 13.8 million shares for approximately $2.3 billion, having repurchased over 10% of our outstanding shares since announcing our 2020 vision plan in September 2022, we are already over halfway to our stated initial target of 200 million shares outstanding. This progress led us to increase our share repurchase authorization last year by $4 billion through 2027, which we are currently working through opportunistically. We also declared $1.87 per common share in dividends for 2024 and paid over $400 million in dividends during the year. As previously announced with our June capital allocation update, we increased our quarterly dividend approximately 15% to $2 annualized and intend to follow through with our guidance of 10% dividend growth annually through the end of this decade. We remain committed to our targeted payout ratio of approximately 20% over time, which will enable us to retain the financial flexibility essential to our comprehensive and balanced long-term capital allocation plan and disciplined self-funded growth objectives. During the fourth quarter and full year, we repaid $350 million and $800 million of outstanding long-term indebtedness, respectively. During the year, we've fully repaid the SPL 2024 notes and addressed our 2025 maturities across the complex, with only $300 million of principal remaining on the SPL 2025 notes, which we plan to repay with cash on hand at maturity in March. During the year, we also issued the inaugural investment-grade bond at Cheniere Energy, Inc., following our blueprint for strategic refinancing, extending our maturity profile, and reducing interest expense, all while desecuring and desubordinating the balance sheet. Looking ahead, you can expect more of this, while in the near term, we will continue to focus our debt paydown within the CQP complex in preparation for financing the SPL expansion project. The rating agencies continue to recognize our progress on balance sheet management throughout our corporate structure in 2024. Last year, we received our 22nd credit rating upgrade since 2021 and are now investment grade at every Cheniere issuer by all three rating agencies. The continued recognition from the ratings agencies reflects our capital discipline, proven project execution, and operational excellence, and having developed and structured these projects to have robust credit metrics over the long term. During the fourth quarter and full year, we funded approximately $220 million and $1.5 billion of CapEx on stage three, bringing total spend on the project to over $4.5 billion. We also deployed approximately $400 million in 2024 towards future growth and debottlenecking, including procurement for certain equipment for mid-scale trains eight and nine and continued development capital to progress the SPL expansion project. To date, we have funded over $300 million of the approximately half a billion of costs that Jack mentioned we locked in for mid-scale trains eight and nine related infrastructure. With approximately $3 billion in consolidated cash and ample undrawn revolver and term loan liquidity throughout the Cheniere complex, we expect to continue equity funding the stage three CapEx while remaining active on our opportunistic buyback program as we continue to manage our cash balances efficiently. Turn now to slide fourteen where I will discuss our 2025 guidance and outlook for the year. Today, we are introducing our full-year 2025 guidance ranges of $6.5 billion to $7 billion in consolidated adjusted EBITDA and $4.1 billion to $4.6 billion in distributable cash flow, with $3.25 to $3.35 per common unit of distributions from CQP. From 2024 actuals to the midpoint of 2025 guidance, 2025 is up 10%, 17%, and 2%, respectively, solidifying 2024 as a trough year with stage three start-up driving higher financial performance expectations this year. Consistent with what we discussed on the 3Q call, these changes reflect our production forecast of 47 to 48 million tons of LNG in 2025, which contemplates our existing nine-train platform plus our outlook for production from the first three trains at Corpus Christi stage three this year. Achieving first LNG in December and first cargo already this month together with the commissioning of train one tracking on schedule, reinforces our conviction in our forecast of 47 to 48 million tons of LNG production, consistent with the October call. As such, our team has continued to forward sell some of our uncontracted volumes opportunistically, and today, we forecast approximately 1.5 to 2 million tons of unsold capacity for the remainder of 2025. Of the approximately 3 to 4 million tons of spot capacity for 2025, guided you on the last call, the CI team has now locked in almost 2 million tons at attractive market netbacks, up from over 1 million tons as of the last call. Given that exposure, we forecast that a $1 change in market margin would impact EBITDA by approximately $75 million to $100 million for the full year. However, most of the remaining open volumes will be contingent on the timing and ramp-up of the first three trains of stage three. Looking at curves today, netbacks, while volatile, are hovering around $8 to $9 for the balance of 2025. For the timing of our stage three trains coming online, and the resulting incremental marketing volumes, could drive significant variability in our expected earnings for 2025. As with the commissioning of our first nine trains, we hope to improve the commissioning process for each subsequent train by employing lessons learned. We continue to expect the remaining mid-scale trains at stage three to reach substantial completion in 2026, at which point we have several million tons of new long-term contracts starting in 2026 and 2027, keeping our platform over 90% contracted, with creditworthy counterparties and taker-pay style cash flows, and averaging approximately 95% contracted through the mid-2030s. As always, our results could be impacted by the timing of certain cargoes around year-end. And as noted on prior calls, our DCF could be affected by changes in the tax code, particularly as it relates to any coming tax reform, the IRS transition guidance, and the final rules of the corporate alternative minimum tax. These changes can impact the timing and amount of our cash tax payments this year and going forward, but should be immaterial on an NPV basis and not impact our ability to generate over $20 billion of available cash through 2026. As Jack noted, in 2025, we are focused on bringing stage three online safely while supporting this year's financial results, progressing trains eight and nine to FID while Bechtel remains on-site constructing and commissioning stage three, and to take advantage of a constructive permitting window to provide line of sight to a total of over 90 million tons of permitted capacity across both sites, which will help solidify optionality for future brownfield growth long term. 2025 is already off to a great start, and we're pleased to see the meaningful progress at stage three, keeping that project ahead of schedule, which will help us deliver on EBITDA growth in 2025. Encouraged by strong and improving fundamentals across our industry, but we also take comfort in the strength and resiliency of our highly contracted platform, that has been demonstrated through multiple cycles, making us a trusted long-term partner to all of our stakeholders. As we remain focused on maintaining our track record of reliability, safety, and operational excellence, we will continue to serve as responsible, transparent stewards of capital in order to grow our leading infrastructure platform and enhance the long-term compounding value delivered to our stakeholders while delivering on our commitments by supplying our customers with reliable, affordable, and cleaner-burning LNG. That concludes our prepared remarks. Thank you for your time and your interest in Cheniere. Operator, we're ready to open the line for questions.
Operator: If you would like to ask a question, please signal by pressing *1 on your telephone keypad. We ask that you please limit yourself to one question and one follow-up to allow everyone an opportunity to signal. You may re-signal for any additional questions. We'll now take our first question from Theresa Chen with Barclays.
Theresa Chen: Morning. Thank you for taking my questions. First, it's great to see the seamless execution and the tailwind behind your business. Going back to the comments on the recent geopolitical developments related to Russia and Ukraine, has this altered your view on the passport for US LNG in particular? Have you seen any effects on your commercial discussions for long-term contracts, especially with European customers? Understanding that there's quite a bit going on over there between geopolitical developments, the weather, the depleting inventories, and so on. So we'd love to hear your thoughts here.
Jack Fusco: Theresa, thank you very much. This is Jack. I'll start and turn it over to Anatol, and he can talk more specifically about his interactions with our customers. But first, we pray for world peace. I mean, that we've it has been very unsettling what's gone on just more broadly around the world, not only in Ukraine. So we pray that we can settle things down and get back to basics and let people live and enjoy their lives. As you know, we have a very highly contracted business model. So we have anticipated a very volatile market going forward. And it's no different than what we've seen in the past. So whether it was COVID in 2020, or the Ukraine-Russian war in 2023 and beyond, we expect there to be a lot of volatility in a commodity-driven market. But more specifically on our engagements with our customers, I think what's been extremely highlighted by this war is that energy security, energy diversity, is necessary for any country's stability and growth. So with that, Anatol, do you have any more to add?
Anatol Feygin: Thanks, Jack. Thanks, Theresa. You know, it is a backdrop of volatility and uncertainty. It is a market where Europe's call for additional LNG as inventories were depleted was heard loud and clear by the market. The US sent a record amount of volume to Europe, 86% of our cargoes in January went to Europe and is helping resolve the current situation. But inventories, as you know, are still order of magnitude 25% lower than they were last year. You have multiple conflicting events playing out as we commented and Jack further commented. Hopefully, there's good progress on peace and the hot war starts to ebb. On top of that, we have a very favorable geopolitical environment both on the US side, where we have good support from the administration to continue our growth ambitions as well as from Europe, which on the one hand aims to end the conflict, but on the other hand, as soon as next week, we'll likely announce cessation of all Russian energy imports into Europe. All this results in a backdrop where the reliable and certain product that we offer with full destination flexibility, it's just hard to see how there's a better solution to navigate the uncertainties that are on the come. So we have a number of good tailwinds and hope that that will be true for Europe at large.
Theresa Chen: Got it. And turning to the other side of the world, as the Trump administration targets the US's trade deficits with international trading partners, including top LNG importers in Asia, there seems to be more willingness to shore up gas supplies with US LNG volumes. What do you make of this? Do you think this is largely political rhetoric, or would you expect an acceleration in commercial development from here complementing the structural demand growth from that area of the world?
Jack Fusco: No, Theresa, this is very similar to what happened during President Trump's first term, when in November of 2017, I was invited to join the president and Secretary Ross on a trip through Asia, and that resulted in our first long-term energy contract between China and Cheniere. And I would expect that he's very focused on making the US energy dominant. And I feel pretty confident he will follow through and help us all get more products sold and grow our business here domestically.
Anatol Feygin: Yeah, Theresa, just to add to Jack's comments, we have this tremendous pull from Asia for gas in general and LNG. Unlike other LNG suppliers, the US does not do government-to-government transactions. That said, governments are very important in these discussions and ultimately they are commercial deals. Jack mentioned the one we executed with PetroChina in 2018. We've clearly shown the world the benefit of this destination flexibility, reliability, and it's no accident that we've had a number of repeat engagements with China and other customers in Asia, and we expect that to continue to be the case having proved this concept and having executed and further built our relationships through these various cycles. So hard to say that these are not tailwinds for us.
Theresa Chen: Thank you very much.
Operator: We'll now take our next question from Justin Jenkins with Raymond James.
Justin Jenkins: Thanks. Good morning, everyone. I guess maybe if I tack on to Theresa's question and Jack, you mentioned this in your remarks. But maybe some more details on how the early days of the Trump administration have been versus your expectations on the regulatory and permitting backdrop and maybe also how that potential for new capacity has played into contracting discussions as well.
Jack Fusco: So, Justin, it's been refreshing quite honestly. So when we produced first LNG at stage three in December, the first email that came across my desk was from the then-nominated Secretary of Energy, Chris Wright. And then the second email came from the former Secretary of Energy, Dan Brouillette, who was with us during President Trump's first administration. So it just it helps. You know, these are very complicated, very capital-intensive projects. There's a lot of different moving parts at any given time to put together. Having regulatory certainty is very important. It's not everything that makes the project go, but it's very, very important in our timeline. So the focus and communications have been very strong and very clear.
Justin Jenkins: Great. Thanks, Jack. I guess if I follow-up on guidance here, it looks like one million to two million tons of stage three volumes incorporated in the EBITDA guidance. Is that mostly just train one and maybe some of train two getting into EBITDA for the year? Or how are you framing that volume sensitivity in 2025?
Zach Davis: Sure. Just to summarize for everybody, we've guided to 47 to 48 million tons of LNG this year, which would be the most by a few million tons that we've ever done. That's based on the foundation of the first nine trains at 45 million tons and then stage three coming online, getting us to 47 to 48. I'd say a little less than one million tons is expected to be commissioning. That gets you to, like, over 46 to 47 million tons. To get to the high end of that range, basically, we're going to need three trains up and running, and pretty much fully there by early in the fourth quarter of the year. And then to get to the low end of the range, basically, that would mean only two trains basically hit substantial completion this year. Right now, we feel very good that we're in the middle of that range, and things are progressing well. But that's really the toggle between that one to two million tons of P&L operational production.
Justin Jenkins: Perfect. Thanks, Zach.
Operator: We'll take our next question from Bert Santobello with Wolfe Research.
Bert Santobello: Hi. Good morning. Can you please talk to optimization you've already seen year to date, whether it's shipping optimization, with Asia-Europe spreads looking tight in certain periods or procurement from gas basis volatility?
Zach Davis: Sure. We won't get into all the details of optimization. And as you know, as we think about guidance, and this is the initial guidance we've given for 2025, we don't lag into most of the optimization in the early guidance. So that'll come with time as we continue to lock it in. The optimization comes from upstream of the plant through our lifting margin, the plant as we optimize with some third-party sourcing and moving cargoes around and taking advantage of, at times, the arbitrage between JKM and TTF, and then, obviously, subchartering. As one would expect with subchartering, our shipping rates are much lower year over year. In addition to that, with stage three coming online, our length in our subchartering, like, portfolio or our chartering book is less, so I'd imagine that will be less of a driver of the optimization this year. But it's fair to say we've already locked in over $100 million of optimization, but to get to the upside of our guidance range, we're keen to try to lock in a couple hundred more.
Bert Santobello: Thanks for that. And what are you seeing as far as pricing for long-term SPAs recently? And has there been any notable upward pressure as costs for new builds are rising?
Anatol Feygin: Yes. So it is a competitive market as you can imagine. We have a number of projects that, of course, have FID-ed over the 2022, 2023 period. But as we've said on previous calls, the cost side of the equation is obvious to everyone, and we are at or above the top end of our historical range of $2 to $2.50. You know, for Cheniere's projects. We are confident that we can leverage our reliability and operational performance, having never missed a foundation customer cargo, and extract a premium from that market. So that's why we're comfortable saying we're at or above the top end of that range. That is up meaningfully from where we were, let's say, three or four years ago, but I would say it's fair to say that it is not commensurate with the cost pressures that we've seen in the market. And as Zach will remind you, in order to move forward for us, we need to meet all of our investment parameters, and we have to use every brownfield advantage in our book to get to that hurdle.
Zach Davis: And just to add to that brownfield advantage, I mean, we already have Bechtel on-site at Corpus, and we're keen to FID mid-scale eight to nine this year, which will just be two added trains. And we have some plans to unlock more debottlenecking there to get closer to 60 million tons as a total portfolio. And then we did speak to the idea that we're going to take advantage of this constructive permitting window to get over 90 million tons. But there's definitely flexibility there to do it in phases. And there's pretty good line of sight of first phases at both sites to get at least a large-scale train or so that is very brownfield, meaning no tanks, no pipelines, no berths, and that's gonna allow us to be cost-competitive and allows even these SPA levels that are better than they had been but maybe haven't inflated as much as things like labor have. Worked themselves out and put us in a really good position to continue to grow well beyond 60 million tons in the coming years.
Bert Santobello: Thank you.
Operator: We'll now take our next question from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Morning.
Anatol Feygin: Morning, Jeremy.
Jeremy Tonet: Anatol, thank you for all the helpful commentary. Just want to go back to that a bit if I could on the macro side. Seems like there's concern on Russian gas coming back into the marketplace and LNG supply in general coming in. You've touched on this a number of times in the call, but just wondering if you might be able to expand a bit more, I guess, with regards to how you see this transpiring over time. In our minds, lower or even stable LNG prices have been helpful to incentivizing demand, particularly in Asia, which seems to be the long-term growth avenue here. And just wondering if you could share some more thoughts along these lines.
Anatol Feygin: Thanks, Jeremy. And, again, as we've commented, we yearn for peace and we yearn for more moderate and stable economics of our product. You know, we can control to a large extent safety and reliability, but the market will dictate the economics. And yeah, as you know, the market has the gas market, for example, globally grew by almost 3% last year, but, of course, the LNG market didn't grow or grew four million tons off an over 400 million ton base. So the market needs more LNG, needs that dispatched, and it needs to refill a number of markets that have been, in essence, starved of this product, and we hope that that starts to play out over the coming years. I've tried it out the number in the past of over 600 million tons, and this is a historical number of non-coincident demand by markets. And the one thing that has, of course, played out over the last few years is the tremendous investment I mentioned in gas generation, regas infrastructure, pipeline storage, globally. Over 400 million tons of regas capacity will be added to the current over a thousand million tons by 2030. Those are just things under construction. So how does Europe play out? Who knows? Right? You have this policy directive that's gonna come out that says no more Russian gas into Europe. On the other hand, again, we hope that peace is a friend of gas to the continent these days. In an estimate that once flows are resumed, they'll be well below the prewar levels, but could get up to the range of 30 to 35 BCM, including a little bit on Nord Stream two through Europe, sorry, through Ukraine, but highly, highly unlikely, and we agree with this through Poland. So we think it's another relief valve. We think it's great for the market. The prices you've seen over the last few months into Europe are the highest that we've seen since the start of 2023. So once you take out the extreme highs of 2022 right after the war, very elevated, and they had the desired response. They drew a record amount of LNG into Europe, but inventories are still 25 percentage points below a year ago, and every percentage point is about ten cargoes. So you don't have any flow through Ukraine now. You're at a huge deficit. Europe will continue to need LNG, and if I can quote Equinor one more time, its estimate is an additional 350 cargoes of LNG. So again, what's the answer? A diverse, flexible portfolio that reliably shows up and serves the load that desperately needs gas.
Jeremy Tonet: Got it. That's very helpful there. And then if I could just turn to Zach, quick here on capital allocation. Just wondering, you know, we've seen others in midstream maybe deemphasize the buyback side, but it seems like Cheniere's continued to kind of plow forward on that side, and the share count reduction has been talked about. At the same time, if we think about future growth and we look at Corpus, the two and a half years from FID to first LNG, no one has exceeded that speed to market. We see material contracts as signed as you've discussed in the past. The permitting window, as you've described, and just very attractive brownfield economics here, so just wondering how you think about balancing the sides. It seems like some more growth could be coming into the plan sooner given these factors. Just wondering if you could share your thoughts on this.
Zach Davis: Sure. Thanks for all that. And I'd say we're also targeting substantial completion of the first train inside of three years, and not just first LNG in two and a half, which we're pretty excited about. I think it comes back to the fact that I'm not sure we have many peers in our business that have the cash flow or operation maturity level that we have. So we're in a position now where we're going to have a relatively big CapEx year. Right? We're not yet on the home stretch of stage three, but we're gonna have, like, a billion and a half unlevered CapEx there. And we plan to FID mid-scale eight to nine that could be around $800 million of CapEx this year. So we're talking about well over $2 billion. At the same time, we have over $3 billion of cash on the balance sheet, and we have an over $3 billion term loan still available to us to draw as we see fit in the coming years. So what you can expect is more of the same. Basically, this past year, we deployed $5.4 billion on capital allocation and DCF was $3.7 billion, and we brought our cash balances down from mid-$4 billion going into last year to low threes. We're gonna continue to work that down by a billion or two in the next year or so, and eventually draw on that term loan. So you can expect us to fund all this CapEx, and still have more than enough capital to do more of the same as it relates to the buyback. We'll grow the dividend by 10% as we guided to, and we'll pay down a healthy amount of debt again as we get ready for expansion in the coming years. But the $2.25 billion of buybacks in one year, that shouldn't be an anomaly. It'll just come down to how opportunistic we can be.
Jeremy Tonet: Got it. That's helpful. I'll leave it there. Thanks.
Operator: Your next question will come from Craig Shere with TUI.
Craig Shere: Morning. Thanks for putting me in. Zach, maybe I can pick up on Jeremy's question from others. So we have some stubbornly high C Corp cash balances, you know, on the balance sheet. Even after everything you've discussed, you know, buybacks, growth CapEx funding, you know, reducing debt. So what do you see as the catalyst for ultimately bringing the C Corp cash balance down to a more sustainable, perhaps, $1 billion? Is it maybe bringing the CQP distribution down to the base after you finally FID stage five, or what should we be looking for here?
Zach Davis: I think it's just going to be methodical as it was from $4.5 billion down to $3 billion, and you'll see it come down even more so this year as we have over $2 billion of planned CapEx we'd like to do without slowing down whatsoever the rest of capital allocation. I think folks can take comfort that I could say that to say that the buyback program could be opportunistic is an understatement. Basically, in Q1 last year when we actually had a lot of pressure on the stock, we bought back over 50% of that number for the year. If you just look at this coming quarter that we're in today, probably bought back more in the first two weeks of February than we did all of January. So you can see that that'll continue to plug away. But with the CapEx coming for stage three, mid-scale eight and nine, and we'll continue to develop Sabine expansion and be in a position next year to start doing meaningful LMTPs. We're well placed to almost have a very, very similar capital allocation year over year where it will be demonstrably higher than even the $4.1 to $4.6 billion of DCF we just guided to.
Craig Shere: Right. That then, the growth kind of segues into my second question. And that's the prospective 90 plus MTPA enterprise platform Jack alluded to in the opening comments. Presumably, that assumes at least another 10 MTPA permitted at Corpus Christi after the nine mid-scale trains. Am I doing that math right? And what ultimately could that location hold?
Jack Fusco: So as you know, Craig, we recently acquired 500 acres of property contiguous to our Corpus Christi site. There was a berth included in that purchase. The berth isn't LNG ready, but it gives us water access. So on that site, we could probably, if on a clean sheet of paper, have somewhere around 20 million tons of additional LNG production in addition to the nine stage three trains and the three big trains.
Zach Davis: That's why we just say over 90 million tons. But the idea that we're not well placed with brownfield growth, that's the bean. And in Corpus is it's just not even close to true. We're gonna give ourselves this window to get that optionality, and then we might just hit a bunch of singles and doubles and grow by a few trains in phases as the economics align. I always come back to those economics and the fact that we can FID projects thanks to this brownfield advantage six to seven times CapEx to EBITDA.
Craig Shere: Great. Thank you.
Operator: We'll now move to Jason Gabelman with TD Cowen.
Jason Gabelman: Yeah. Hey. Thanks for taking my question. I may have missed it earlier, but do you have an equity to debt funding target? Maybe not for stage three in isolation as you continue to fund with equity, but stage three in combination with the mid-scale expansions.
Zach Davis: Sure. Basically, as we think about FID of a project, it comes back to these economics that we want to earn a 10% unlevered return, which we back into being around seven times CapEx to EBITDA before leverage. And then adding leverage, bringing trains on early, taking advantage of margins that are over $2.50 are all upside to our shareholders. That we don't bake in to justify FID of a project. So that's how we plan to FID future projects. But as it relates to stage three and mid-scale eight and nine and obviously, the cash balance that we have and the undrawn term loan, we plan to just use that term loan to fund a portion of the remainder of stage three and mid-scale eight and nine without having to raise incremental debt. It's the same as following through with debt paydown. We just don't do debt paydown and we're equity funding a bit here and being very efficient with our cash and interest costs overall in the interim. But as we think about the Sabine expansion one day, that'll be inside an MLP that's even at the lower distribution, distributing out over $2 billion this year. Like, we plan to continue to distribute that out. We plan to stay investment grade and still have billions of dollars of debt raised to fund that project in the interim. So 50/50 is the plan. We don't have to do more than that. It aligns with all the other parameters of staying around under four times leverage, even during construction, going forward.
Jason Gabelman: Okay. Great. That was my only question for me. The rest of my questions have been answered. Thanks.
Operator: We'll now take a question from Jean Ann Salisbury with Bank of America.
Jean Ann Salisbury: Hi. As you are ramping Corpus stage three, your first foray into modular, can you speak to any learnings that you've had, positive or negative, around ramp-up time, ability to run over nameplate, or anything else you think is important?
Jack Fusco: Wait. Yeah. On the question you threw me for a curve, Jean Ann, did you say our first foray into modular?
Jean Ann Salisbury: I did. Yeah.
Jack Fusco: Oh, no. We stick those. So as you know, the only difference between the way we do it with Bechtel and the way somebody does it modularly is if you're betting against American workers' productivity. And we tend to bet on America and not on Italian workers.
Jean Ann Salisbury: But that's fair. I shouldn't I guess, maybe I'll revise instead of using the phrase modular to just the smaller size.
Jack Fusco: The smaller size. Okay. So it's gone very well. I was very pleased with Bechtel and my staff on first LNG before the end of last year. We're down now on train one to a very small construction work group, basically doing control tuning and some cleanup work. I would expect us within next month to go operational with that train, well ahead of schedule. And then train two is going extremely well. We're fully staffed from a construction perspective on an accelerated schedule. We've turned over over 20% of the systems to commissioning. A lot of the systems that we had to bring online for train one are already active, like the feed gas pipelines, the AGRE, the acid gas removal units, the flare, the LNG rundown line. So my expectation is that train two, three, four, just come on faster than what we experienced here with train one.
Jean Ann Salisbury: That's great. Thank you. And then as a follow-up, as you're contracting Sabine Pass expansion, just give us your latest thinking about the minimum contract percentage of the portfolio that you would want to pursue?
Anatol Feygin: Yeah. Thanks, Jean Ann. It's Anatol. So as you know, we've had very good success on the SPL expansion where you've essentially contracted train seven and have done now our second offtake agreement for train eight. We're very comfortable with those agreements and our partners there. And as Zach already mentioned, we'll look to see how we phase the expansion and make the math work in terms of generating the types of returns that we require of ourselves. So very healthy position, and as we've covered throughout this call, there are some very robust tailwinds to the Cheniere platform and to US LNG as we work to be the key provider of these destination flexible solutions to the LNG consumers.
Zach Davis: And don't get us wrong. We take advantage of the torque by debottlenecking the facility, having open capacity, bringing trains on early before the contracts contractually begin. But we are a contracted infrastructure company. And we build at six to seven times CapEx to EBITDA. And we make it through years just fine, like 2020, and do a hell of a lot better in years like 2022 and basically every year since. So we're kind of building this to last, and we know we're getting the right risk-adjusted returns by staying around 90% on a portfolio basis. We don't do this for the benefit of the banks. Like, we do this for the standard that we've held the company to and how we compare everything to just buying back more stock and letting shareholders just own more of Sabine and Corpus that way.
Jean Ann Salisbury: Great. Thanks. I'll leave it there.
Operator: We'll now take our last question from John McKay with Goldman Sachs.
John McKay: Hey, guys. Thanks for the time. Just a quick one for me. I think previously you talked about Sabine potentially being a 2026 FID. Understand we've kind of moved towards maybe less of 20 all at once and maybe a kind of one train at first with the brownfield economics. Could you maybe walk us through what your process on timing looks like there?
Zach Davis: I would say it's at the earliest late 2026, maybe even or more likely 2027. Because what's most important right now is this permitting window. And then understanding the art of the possible at both of our sites to get to 90 plus million tons over time. So we're going to work on that permitting process and make sure that we tee ourselves up not just for a super brownfield phase one, but for the ability to get to 15 to 20 million tons over time. And if that forces us to FID in 2027, so be it. Because it's most important that we have that optionality long term. With that said, we're already spending money on the development of Sabine expansion, and I could see us starting RNTPs next year on Sabine expansion. So money's gonna go out the door, and we're gonna start locking in costs and timeline in a positive way to allow that project to be as successful as every other project we've done to date.
John McKay: Okay. Makes sense. Thank you.
Operator: That concludes today's question and answer session. I'd like to turn the conference back to our presenters for any additional or closing comments.
Jack Fusco: This is Jack. I just want to thank everybody for all of your support. And we look forward to seeing you in the very near future.
Operator: And once again, that does conclude today's conference. We thank you all for your participation. You may now disconnect.